Operator: Welcome to the U.S.A Compression Partners Third Quarter Earnings Conference Call. [Operator Instructions]. Today's conference is being recorded. And at this time I would like to turn the call over to Mr. Greg Holloway, Vice-President, General Counsel and Secretary. Please go ahead, sir.
Greg Holloway: Well, thanks, Savannah. Good morning, everybody and thank you for joining us. As you know, this morning we released our financial results for the quarter ended September 30, 2016. You can find our earnings release as well as a recording of this conference in the Investor Relations section of our website at U.S.Acompression.com. The recording will be available through November 19, 2016. During this call our management will discuss certain non-GAAP measures. You will find definitions and reconciliations of these non-GAAP measures to the most comparable GAAP measures in the earnings release. As a reminder, our conference call will include forward-looking statements. These statements include projections and expectations of our performance and represent our current beliefs. Actual results may differ materially. Please review the statements of risk included in this morning's release and in our SEC filings. Please note that information provided on this call speaks only to management's views as of today, November 8 and may no longer be accurate at the time of a replay. I will now turn the call over to Eric Long, President and Chief Executive Officer, U.S.A Compression.
Eric Long: Thank you, Greg. Good morning, everyone and thanks for joining our call. Also with me is Matt Liuzzi, our CFO. This morning, U.S.A Compression released third quarter 2016 financial and operational results. As anticipated, the cumulative effects from softer activity levels and declining utilization from predominantly smaller horsepower units experienced earlier in 2016 had an impact on Q3 results. Our business is generally a lagging indicator in the overall energy market, both on the upswing and during the downturn. The good news is we think that the industry pendulum is starting to swing in the right direction again, based on positive signals related to our activity levels, including a higher level of signed contracts for new projects and a slowdown in equipment returns, both during Q3 and projected through the end of the year. We believe the third quarter results demonstrate the continued relative stability of our compression services business model which is focused on infrastructure applications and that we're well-positioned as the market rebounds in activity levels from both upstream and midstream operators begin to increase. As we have done since the beginning of this secular downturn in the energy sector eight or so quarters ago, we continued to proactively manage our balance sheet to reward our stakeholders over the long term by balancing our growth CapEx demand needs with the potential for future distribution growth. Given our continued focus on operational excellence and cost controls, during the third quarter we were still able to generate strong gross margins, pushing 70% which resulted in adjusted EBITDA of $34.6 million and distributed cash flow or DCF of $27.2 million for the quarter. We still saw some softness during the quarter, but we believe those trends are beginning to reverse with utilization of smaller horsepowered gas lift-oriented equipment stabilizing and improving fundamentals in our larger horsepower midstream fleet which constitutes roughly 85% of our fleet horsepower. We continue to focus on things within our control and that primarily means capital spending and cost controls. We slashed our expansion and capital spending in 2016, adding only a handful of very large horsepower units so far in 2016. And as we have discussed on past calls, we continue to utilize our existing supply of in demand, large horsepower equipment to meet the demand from our customer base. By and large, this equipment has been and will be readily deployable with minimal required modifications in capital expenditures which we believe is a better use of capital in the current environment. That said, we have already begun to run out of existing inventory of some of the largest horsepower units in our fleet and have pulled the trigger to add a few large machines to be delivered at the end of 2016, totaling roughly 7,000 horsepower, as well as an additional 20,000 horsepower comprised of large units to be delivered in the first half of 2017. These units are committed and earmarked for specific projects with some of our largest customers under long term contracts. We look forward to providing more detailed information on expansion capital and fleet additions in 2017 during our Q4 and full-year release in February. On the cost side, our operations team continues to excel with gross margins again pushing around 70% and adjusted EBITDA margins of roughly 57%. Our team in the field has done an incredible job maximizing operational efficiencies and realizing OpEx savings. We also continued to realize efficiencies relating to our maintenance capital spend during the quarter which has been yet another lever in our disposal to help drive DCF. Over the quarter, we achieved for the first time in the history of the Company over 1 million man-hours worked without a lost-time incident. This is a milestone accomplishment for any company and a direct result of our safety culture. We were also selected by IS Net World, the world's largest health, safety and environmental independent certification body, that operates in over 80 countries and maintains safety, insurance, quality and regulatory information covering over 62,000 contractors as a RAS plus certified supplier. And U.S.A Compression is only one of about 1,000 certified contractors worldwide. This certification recognizes our collaborative approach with our customers related to health, safety and environmental best practices. U.S.A Compression has some of the best safety statistics in the compression services industry and in the world we operate in today our safety culture commitment to zero incidents in all that we do and our resulting stellar safety record allow us to work for some of the largest and most stringent operators in the energy business. As I mentioned, we have reason to believe the market is beginning to tick up again. The overall tone from our customers is industry activity metrics are showing definitive signs of optimism as we head into the end of the year. While we saw a dramatic decline in new drilling activity levels through most of the first nine months of the year, we're beginning to see a return to new activity for both upstream and midstream operators. Based on many research reports analyzing breakeven drilling and production from upstream companies, many domestic dry gas and oil plays are economic at the current strip pricing and there has correspondingly been a material increase in the rig count in many plays in which we operate. And importantly, on a spot basis utilization increased over 2% from June to September. While our active fleet only grew slightly quarter over quarter, the main driver of the utilization increase was the significant increase in signed contracts for new large horsepower projects which gives us added visibility into future fleet activity and revenue growth. Of note, the amount of newly contracted horsepower is up almost 6X from the loans we saw earlier this year and it represents the highest level of newly contracted horsepower in any quarter since Q4 2014 and is significantly higher than our historical average since going public. Most of these units consist of very large horsepower packages installed in turnkey service applications and these type of projects typically earn higher returns and we see an increasing appetite for these types of projects, especially as customers focus more on upstream or midstream gathering and processing development and leave the compression expertise to us. Given the timing of starts for this newly contracted horsepower, we may not see the full benefit of all these projects in the fourth quarter, but we expect to have momentum going into 2017. On the other side of the equation, we have also seen a significant decrease in the pace of horsepower returns. Returns of units were relatively high during the first half of the year which drove the decrease in our active horsepower fleet during that time. But returns are now beginning to normalize toward our historical averages since going public. Given our robust newly contracted horsepowers at the end of the third quarter, as well as other projected starts through the end of the year, we expect positive momentum related to growth in our active fleet. We continue to believe that the trend of outsourcing compression services will increase going forward as a result of capital constraints and our capital allocation decisions as well as issues related to labor, safety and service reliability and expertise. As I mentioned in my introductory remarks, we believe that the pendulum continues to swing in the right direction again and we continue to be encouraged by overall industry activity in our customer dialogues. Trends in pricing this quarter have been consistent with the rest of 2016, albeit with more positive momentum in select horsepower classes. We have continued to see stability in rates on the larger horsepower, midstream-oriented equipment, representing roughly 85% of our assets by horsepower. In general, due to the high barriers to exit as well as the relatively low cost of compression to our customers, when compared to the overall value, it provides in the oil and natural gas production value chain, typically just a few pennies or more per MCF, we find that our large horsepower compression assets continue to be very sticky on both pricing and utilization as well as staying in the field beyond the primary contract term. And we expect this trend to continue. Importantly, we have even seen slight increases in pricing on some of the recently contracted very large horsepower equipment. We believe this class tends to be in shorter supply than most compression equipment. Additionally, we're beginning to see more price discipline and markets. We now get the sense that most players in the space are holding firm on pricing which, along with the fact that lead times from theory large horsepower equipment is already starting to lengthen, supports our belief that the large horsepower equipment market across the industry is beginning to tighten a bit. For the small horsepower portion of our fleet, mostly used in gas lift applications, we continue to experience some softness in rates in Q3 and we can see that softness continue until we see more material increases in the utilization of that horsepower class across the industry. As a reminder, this portion accounts for only about 15% of our fleet horsepower and typically earns much higher revenue dollars per horsepower than large equipment. We believe we're well-situated to benefit from the expected continued market rebound and resulting new growth opportunities over the next few years. Relative to our peers, both public and private, we believe certain characteristics of our fleet position us well to capitalize on market trends. We have one of the youngest fleets in the space at less than five years of age on average and this modern equipment typically needs increasingly stringent emissions standards and is among the most fuel-efficient and therefore is highly desirable to our customers. In addition, our fleet is specifically designed to be easily adaptable to the changing compression requirements and operating conditions which will allow us to optimize the redeployment of our idle fleet to areas where we earn the best service rigs and margins. Finally, we believe the trend in many areas is moving towards larger upstream projects which result in higher volumes needing large horsepower installations. Overall, we believe the demand-driven nature of our business model is built for stability in markets like these and we will continue to proactively manage the business to maintain stability and margins and cash flows, as we have done for the past 24 months or so. We remain bullish on the outlook for compression over the long term, given the attractive macro fundamentals for growing natural gas demand and continued infrastructure buildout. We believe our strategy which focuses on large infrastructure-oriented equipment and our execution through this downturn, will put us in a position to capitalize on incremental demand as the market rebounds. I will now turn the call over to Matt to walk through some of the financial highlights of the quarter and our updated guidance ranges. Matt?
Matt Liuzzi: Thanks, Eric. Good morning, everyone. As Eric mentioned, U.S.A Compression reported another solid quarter of results against a tough but improving market backdrop. For the third quarter of 2016, U.S.A compression reported revenue of $61.1 million, adjusted EBITDA of $34.6 million and DCF of $27.2 million. In October we announced a cash distribution to our unitholders of $0.525 per LP unit which results in a DCF coverage ratio for the quarter of 0.91 times. Taking into account the impact of the DRIP program, our cash coverage ratio for the quarter was 1.06 times. This quarter, Riverstone elected to reduce its DRIP participation by taking 30% of its distributions in cash. Our total fleet horsepower as of the end of Q3 of 1.7 million horsepower was similar to where we ended Q2, adding only a few large horsepower units to the fleet during the quarter. Our revenue-generating horsepower at period end was up slightly relative to Q2 at 1.4 million horsepower. We invested expansion capital of roughly $11 million in the quarter. We have taken delivery of the 15,000 horsepower discussed on past earnings calls and we now expect to take delivery of three additional large units totaling roughly 7,000 horsepower in December of this year. We still expect total expansion capital spend this year to remain between $40 million and $50 million and we continue to execute on our strategy of working off the backlog of existing in-demand large horsepower units in our fleet as incremental compression demand arises. That said, we have seen incremental demand for the very large horsepower equipment in our fleet. And as Eric mentioned, we have pulled the trigger on some fleet addition orders for delivery in early 2017, comprised only of the very large 3,600 series units. Our average horsepower utilization for the third quarter was 87.3%, up from 86.1% in the sequential quarters. Importantly, our utilization has increased month over month since mid-second quarter this year and we ended Q3 with utilization of 88.3%. The increase quarter over quarter was mostly as a result of the material increase in signed contracts for new projects which corresponds to Eric's commentary regarding our increased level of activity for the remainder of the year. Pricing as measured by average revenue per revenue-generating horsepower per month, was down slightly to $15.35 from $15.52 in sequential quarters, mostly due to declines in pricing in the small horsepower equipment. Turning to the financial performance for the third quarter, total revenue decreased to $51.1 million compared to $53.5 million in the second quarter, primarily driven by a decrease in our contract operations revenues. Gross operating margin as a percentage of revenue was 69.1% in Q3, down slightly from 70.6% in Q2. SG&A in aggregate was up slightly in the quarter versus Q2, driven primarily by certain non-cash and one-time items that do not impact adjusted EBITDA. Adjusted EBITDA decreased to $34.6 million in the third quarter as compared to $37.1 million in the sequential quarters. DCF in the quarter was $27.2 million as compared to $30.5 million quarter over quarter. Net loss in the quarter was $2.1 million as compared to net income of $3.3 million for the second quarter of 2016. Net cash provided by operating activities of $36.1 million in the quarter compared to $36.5 million last quarter. Operating income decreased to $3.2 million as compared to $8.5 million for the second quarter. Maintenance capital totaled $2.4 million in the quarter. As Eric briefly discussed, we have worked this year to optimize our maintenance capital spending which has resulted in significant savings so far this year. We expect maintenance capital to total approximately $8 million in 2016. Cash interest expense, net was $4.7 million for the quarter. Outstanding borrowings under our revolving credit facility as of September 30 were $744 million, resulting in a leverage ratio of 5.36 at quarter end relative to our covenant level this quarter of 5.95 times. You will recall that in March we amended our credit facility to allow for the higher leverage covenants through 2016, in anticipation of the market softness we expected later in the year. We're updating our full-year 2016 guidance to reflect the following ranges. Full-year adjusted EBITDA of $142.5 million to $147.5 million and DCF of $114 million to $119 million. Finally, we expect to file our Form 10-Q with the SEC as early as this afternoon. With that, we will open the call to questions.
Operator: [Operator Instructions]. We will take our first question from Shneur Gershuni from UBS. Please go ahead. Your line is open.
Shneur Gershuni: Just a couple of questions -- typically, USAC is more of a lagging indicator which I think you highlighted in the beginning of the call, with respect to drilling activity. I was wondering if you can talk about your cadence of EBITDA and cash flow as the recovery unfolds. With utilization of equipment coming up, will there be any timing delays in the benefits hitting the bottom line? Are there some contracts you are getting paid on that are not being utilized? Or should we really see a direct correlation between utilization and revenue increases?
Matt Liuzzi: I think the bottom-line answer is that there will be a lag. And I think we hit on some of the utilization upticks. But obviously, not all of that stuff will go out at the beginning of quarters or the beginning of months. So, since there is a little bit of a lag, I think when we -- obviously, the midpoint on the EBITDA guidance really hasn't changed all year. So I think what I'd point out is that I think we saw it coming, what we're seeing now. And so, the third quarter was right in line with what we thought it would be, based on low activity levels in the second quarter and in the beginning of the third quarter. So I think, again, as things have picked up our expectation would be to see that manifest itself in the bottom line. But again, there will be a lag time as we work off, work into the fleet some of our idle equipment and take delivery of some of the new big stuff that we mentioned and get that out there serving customers.
Shneur Gershuni: Okay. And secondly, do you have a sense for what you think your operating leverage is, let's say for a 1% increase in utilization? Should we expect a linear increase in earnings and cash flow? What would you expect somewhat of an exponential increase? Or, said differently, will revenues rate go -- move higher than expenses, effectively?
Matt Liuzzi: Yes. I don't know if I want to get into the details of exactly what percentage that lever is, but certainly when we look at our cost structure, our guys have done an outstanding job of really rationalizing everything out there. And so a lot of the softness, again, we noted was due to the small horsepower, the revenue side of the small horsepower business. Right? Gross margin held up, EBITDA margin has held up. And so I think that indicates to us that the cost structure of the business is working well and what we need to do is, once we see an uptick in that gas flip side of the business -- Eric mentioned that the midstream side rates on that part of the business have continued to be very stable and certainly on the large stuff we're getting pretty attractive rates. So I think as we see the trend of the smaller-horsepower equipment getting back out there into the field, as people become more confident as oil prices continue to hopefully stay at a level that encourages production, we would expect that to really hit on the top line. And then obviously, being able to maintain the margins that we did during this quarter and really throughout the entire year, you would expect that to filter through.
Shneur Gershuni: Okay. And finally, as you think about how you have maintained your full-year guidance, you talked about customer indications with respect to deliveries in the first half and so forth. How do you expect to see your capacity utilization move over the next 3 to 6 months, from where we're today? What would be a target that you would think would make sense, based on the indications that you have thus far?
Matt Liuzzi: I don't know if we can give you an exact target for utilization. But I think what I would point out is that our plan -- obviously, this year we cut back on the CapEx. And based on what we have in the fleet right now on an idle basis, what we see demand coming from customers, we're going to basically balance how much new units do we have to buy into next year with what can we use in the current fleet. When you think about it, if you are sitting on a couple hundred thousand horsepower of idle units, that's all upside that really takes very minimal capital to put out. And so I think, as we look into next year, that's going to be a major part of our plan. And our strategy is, as demand comes and we do think that demand is moving in the right direction, as that demand continues to move in that direction and gain steam we're going to be able to work off units in the fleet first. There will always be a couple of the bigger horsepower units that we have to purchase just because there's not any of that stuff laying around, whether it's in our yard or others'. And so we will always have to buy some of that stuff but we've got a good fleet of quality idle stuff that's ready and willing to go out, once the demand picks up.
Shneur Gershuni: So if I can paraphrase all of your answers, basically you would expect there to be nice operating leverage at least initially for the next couple of quarters. And it will flow with the demand that's out there which you are indicating you are already seeing some customer indications. Is that fair to say?
Matt Liuzzi: Yes. I think that's fair. Obviously, we made a point of mentioning -- you know, the midstream part of the business continues to, I think, be quite healthy. And the softness in the gas lift is where -- that's the part that has really suffered a little bit. So I think, as that turns, we like where the midstream business is right now and continues to be headed. I think we need that smaller horsepower stuff to pick up a little bit. But again, that has not been a big part of -- it's not a big part of the fleet, it's not a large part of capital spending. And so I think as that stuff recovers you are going to have both parts of the business, I think, working nicely over the next 3 to 12 months as demand returns.
Operator: And we will take our next question from Robert Balsamo from FBR. Please go ahead. Your line is open.
Robert Balsamo: I was wondering if you could just confirm the 2017 number you had for expansion. I think you said -- was that 20,000 horsepower in 1Q 2017? Did I hear that correctly?
Matt Liuzzi: So, 2017 number? Yes, Bob, we haven't given out the CapEx number for 2017 yet. We basically said the 7,000 horsepower coming in December of this year and that keeps us in line with the 40 million to 50 million this year. And then we got a 20,000 horsepower that has been ordered for delivery next year. So that will obviously be in the CapEx number, but that may not be the full extent of the CapEx number.
Robert Balsamo: Okay, great. And just to elaborate a little bit on the demand dynamics, it sounds like there's two issues in play, one being a recovery in activity as well as a shift of operators who may have previously utilized their own compression assets. Could you talk a little bit about what is being driven by cost savings versus increased activities as far as the new contracting?
Eric Long: That's a really good question. When you think about when folks on the upstream side have had their balance sheets somewhat constrained, the lending community has frankly pulled their horns and to some degree, you've seen some cuts in borrowing bases and an adjustment to the new world we're living in by even the big guys. And what we're seeing are folks who used to purchase some of their large-horsepower equipment, have now made the strategic decision, you know, maybe it's time for me to outsource this and focus on drilling additional wells, deploying the CapEx to things that enhance value rather than into something that has a different return profile than drilling a new well that's creating a 40%, 50%, 60% unlevered return type of thing. So there's various drivers. Some are safety-driven. Some are core competency-driven. And there's a lot being driven by, frankly, capital limitations by the large independents, some of the majors and then even on into the midstream side. So I think we're uniquely positioned to capitalize on the tick up in the rig count. You've got lateral links in the Permian and the Delaware which have lengthened 1,000 to 2,000 foot over a year or two ago. You've seen proppant densities increase from 1,000 foot per pound to 2,000 feet a pound or 2,000 pounds of foot. You are seeing frac jobs that used to be 3 million, 4 million pounds routinely be at 10 million pounds plus. So what all that means is you move the type curves up, you are drilling more wells from a pad site so you can get higher initial production rates, you have a higher rate where the decline curves tend to stabilize and ultimately higher recoveries for the wells that are being drilled. So all that fits extremely well with our bigger horsepower infrastructure-related equipment. And that's what we're spending a lot of time and attention focusing on our customers who are saying, you know, you guys are really good at this. We've used you in the past and let's continue to expand the relationship and let them focus on their core competencies and we really have forged extremely strong working partnerships with them.
Robert Balsamo: Quickly, you mentioned updating optimizing maintenance CapEx throughout the year. How do we think about maintenance CapEx going into 2017? Are these improvements that can be sustained or should we expect costs to increase?
Matt Liuzzi: Yes, Bob. I do think the improvements generally can be sustained. We will obviously talk about that when we give guidance next year. I think overall what you saw this year was when we talked about optimizing was as the level of activity went down, we made the right decisions to not spend money on stuff that was just going to sit around in the yard. So I think next year, to the extent activity does pick up which certainly the indications are that it would, I think you would see a corresponding increase in maintenance capital to make sure that that equipment, when we get the demand, that that's ready to go out. So I think a lot of that -- again, you are not going to spend money on something if you don't think it's going to go out for six months. But given what we're seeing, I think next year that will be a different story.
Eric Long: And Bob, there's a second component of that. When you think about a big industrial engine which is designed to run fully loaded 24/7/365 and as some of our customers have dialed back their drilling and development activity, machines that were running at 100% a load now might be running at 85% or 90% a load. They still need the machines. But think about it as if you are driving up the hill in first gear and your car tends to strangle a little bit. Well, you crest the hill, you start to come down, you are coasting down -- it's lightly loaded. So we incurred less maintenance on that. So what we have been doing here when we talk about optimizing -- we're really not deferring maintenance. Just the conditions have allowed us to lengthen the time between some of the overhauls and maintenance frequency that you would typically do. So this is part of -- when things are running wide open you spend a little bit more on maintenance CapEx. When you are running a little bit less loaded and not straining the machines, you are able to lengthen out the frequency for some of the maintenance work that you do.
Operator: And we will take our next question from Andrew Burd from JPMorgan. Please go ahead. Your line is open.
Andrew Burd: First question, on pricing -- how aggressive is it out there? And more importantly, how aggressive is U.S.A willing to be?
Matt Liuzzi: We made some comments. I think when you look at the midstream part of the business, the large-horsepower part, that pricing has been very stable. Again, you think about the price of the compression versus the overall value of the hydrocarbons going through that unit and it just -- it really is not a significant part of the cost. And so what we've seen is customers are willing to pay our rates because they want the service and excellence in operations that we can bring. Where you see on the gas left side -- again, that has been the softness. And as oil touched $26 earlier this year and it's steadily come back, you've seen the rates, I think, follow in order. And so that part of the business -- there's still a lot of equipment laying around everywhere in the field, for us and others. And so I think that's the softness. And so I think others are being very -- we have seen, definitely, people being very aggressive. We want to make sure that -- we think we provide a premium service offering. And so our view is that we expect to be paid for that.
Andrew Burd: And moving on to on a regional basis, clearly Marcellus and Permian are two of the key areas for you guys. With regard to the emerging Delaware basin, both for the contract compression industry as a whole and for U.S.A specifically, is there a lot of new customers to be had and a lot of greenfield opportunity for compression? And how fierce is the competition or do you see the competition potentially getting to sign up some of these new customers and grow alongside of them as they grow in the Delaware?
Eric Long: If you think about it, we do not have a presence in the Permian and Delaware just a few years ago. And today we have a pretty significant presence there. A lot of growth opportunities and, frankly, a fair number of these folks that we're growing with are folks that have been core customers of ours in different basins for an extended period of time. We're also seeing some folks out there, independent midstream companies, regional gathering companies, P/E backed E&P companies. And as you move that E into P [ph], then the larger independents and even some of the majors, there is a complete development going on in the Delaware and repowering of pipelines in the Permian proper. So it's a really big universe and a really big growth opportunity. So I think people are focusing on their niche and their opportunity sets. If you are a small horsepower guy, one set of operators; if you are a big horsepower guy, with mega volumes and stringent operating requirements and safety requirements, that narrows down the playing field a little bit. So my sense is there's a bigger shift away from owner operators viewing compression as a core competency, looking at the likes of a U.S.A Compression and saying, we will let you guys partner with us and let you take the reins and run with it. So plenty to go around.
Andrew Burd: And then last question, moving towards the balance sheet -- clearly, coverage is well within covenants today. And clearly, based on the call, it sounds like conditions are improving and some of the headwinds could turn to tailwinds. But if recovery is somewhat slower to materialize and reflected in your EBITDA due to some of that lagging -- that compression has versus the rest of the space, what levers does U.S.A have over the course of 2017, if needed, to manage leverage as some of those covenants are coming in, if the recovery doesn't happen as anticipated or hoped for?
Matt Liuzzi: I don't know that the levers are any different than they have been since we have been public, really. But obviously, we've got a very supportive sponsor in Riverstone who has been supportive in the past through the DRIP participation and other things. We can obviously hit the capital markets if we deem that to be an attractive source of capital. Our bank group has also been very, very supportive over the last 15-plus years, truthfully. And they were supportive earlier this year. When we did the amendment earlier this year, we sculpted the covenants in a way that we thought things would play out. And I think, even though the leverage is where it is right now for the quarter, that's why we set the covenant where we did. And so we had a pretty good idea of what the back half of this year was going to look like. So the bank group was supportive in that. So I think we still continue to have a lot of levers at our disposal, whether it's external bank group, capital markets or more internal with Riverstone, to make sure that we work through that all right. We obviously keep a very close eye on spending. We slashed the capital spending this year and obviously as we go into next year that will all be part of the equation that we consider. So I think that's important. And we obviously monitor it on a daily basis. So I think we will have a better idea -- we will do guidance early part of next year, in February, when we do full-year earnings. By that point I think we will have an even better idea of what the spending will look like and what the balance sheet will handle.
Operator: [Operator Instructions]. We will take our next question from John Woodiel of Raymond James. Please go ahead. Your line is open.
John Woodiel: My first question was on the demand side within the redeployments that you have been seeing -- are those mostly coming from oil basins, gas basins? You noted the Permian had some strong increases. But just looking at some of the other regions as well.
Matt Liuzzi: A fair way to say it would be we see continued pockets of strength in the Marsalis and Utica, tend to be a little bit dryer in the areas that we're seeing some of that activity, the [scoop stack] which tends to be oily, associated gas, a fair amount of activity there. And then, of course, the Permian in the Delaware which -- oily-oriented but pretty high gas rate to go along with it. We have seen some rigs added in some of the dry gas areas, but I think the majority of the new activity has been relatively focused on the oil with the associated gas at this stage.
John Woodiel: And then going back to the pricing side, you spoke a lot about how the pricing within individual horsepower classes. But as we think about the mix shift, where your large horsepower units would usually get a little bit lower revenue per horsepower, as they become a little bit more active, do you think we could see average pricing continue to trickle down for the next couple of quarters until gas lift really begins to turn the corner?
Matt Liuzzi: Yes. I think we obviously make a big deal, I think, when we talk to people about not being solely focused on that dollar-per-horsepower number because it does have the mix of large and small horsepower data in there. And so certainly I think the decrease that you saw in this quarter, quarter over quarter, was due to the revenue side of the gas lift coming down from where it had been. So certainly, if that picks up, we continue to get good pricing on the large horsepower stuff. So it's going to be a mix of those two. But again, the small horsepower is a small part of the fleet. But the amount that that business has come off this year is really what's driving that decrease. So to the extent that that stabilizes, the indoor ticks up, I think things would be in the same general ballpark.
John Woodiel: All right, thanks. That's helpful and it's definitely promising to see the increases in demand that you are seeing and increased pricing in the large horsepower segment.
Operator: It appears we have no further questions at this time. I will turn it back over to Eric for any additional or closing remarks.
Eric Long: Thank you, Operator. The entire U.S.A Compression team thanks everyone on the call today for your continued support of and interest in our Company. We continue to believe that we have a differentiated and superior business model. We will continue to prove out our story to you, our investors. When we went public nearly 4 years ago, the top question we received was, how do we know you are going to be able to grow? Well, from the IPO to year-end 2015 we added over 800,000 horsepower to our fleet, almost doubling the size of the partnership. As the commodity prices plunged and activity slowed to a grinding halt through the back half of 2015 and into 2016, the top question we received was, how do we know you guys are going to weather the storm? As we've discussed, the infrastructure nature of our assets results in largely stable and predictable cash flows. Through the downturn, our utilization has dropped less than 10% from peak to trough, with pricing off slightly, but we have maintained extremely high gross margins, given our ability to maximize operational efficiencies, resulting in relatively stable adjusted EBITDA and DCF. Now, as commodity prices have improved from early 2016 and activity levels are expected to pick up again, we're cautiously optimistic that we're well-positioned to capitalize on the growth opportunities ahead and there are many trends that bode well for our strategy and our focus on large horsepower equipment. We will continue to prove our business model to the market and hopefully and eventually the market takes notice. I look forward to our fourth quarter and full-year update calls sometime in February next year. Thanks. Have a great day and be safe.
Operator: This does conclude today's U.S.A Compression Partners third quarter earnings conference call. Thank you for your participation. You may disconnect at any time. And have a great day.